Operator: Hello and thank you for standing by. Welcome to MYR Group Second Quarter 2023 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. Today's conference is being recorded.[Operator instructions] At this time for opening remarks and introductions, I would now like to turn the conference over to David Gutierrez of Dresner Corporate Services. Sir, please go ahead.
David Gutierrez: Thank you and good morning everyone. I'd like to welcome you to the MYR Group conference call to discuss the Company's second quarter results for 2023, which were reported yesterday.  Joining us on today's call are Rick Swartz, President and Chief Executive Officer, Kelly Huntington, Senior Vice President and Chief Financial Officer, Tod Cooper, Senior Vice President and Chief Operating Officer of MYR Group's Transmission and Distribution Segment, Don Egan, Senior Vice President and Chief Operating Officer of MYR Group's Commercial and Industrial Segment.  If you did not receive yesterday's press release, please contact Dresner Corporate Services at 312-726-3600 and we will send you a copy or go to the MYR Group website where a copy is available under the Investor Relations tab. Also, a webcast replay of today's conference call will be available for 7 days on the Investors page of the MYR Group website at myrgroup.com. Before we begin, I want to remind you that this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR Group's management as of this date, and MYR Group assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's annual report on Form 10-K for the year ended December 31, 2022, the Company's quarterly report on Form 10-Q for the second quarter of 2023 and in yesterday's press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of these non-GAAP measures to the most comparable GAAP measures is set forth in yesterday's press release. With that said, let me turn the call over to Rick Swartz.
Richard Swartz: Thanks, David. Good morning, everyone. Welcome to our second quarter 2023 conference call to discuss financial and operational results. I will begin by providing a summary of the second quarter results, and then we'll turn the call over to Kelly Huntington, our Chief Financial Officer, for a more detailed financial review.  Following Kelly's overview, Tod Cooper and Don Egan, Chief Operating Officers for our T&D and C&I segments, will provide a summary of our segment's performance and discuss some of MYR group's opportunities going forward. I will then conclude today's call with some closing remarks and open the call up for your questions. A solid second quarter performance s resulted from our strong market position, healthy backlog and operational excellence. We continue to see quality bidding opportunities across the organization and strategically pursue new work while maintaining and expanding relationships with our existing valued customers, the country's need for, an investment in a more robust electrical infrastructure, along with continued shift to clean energy sources, present ongoing opportunities for growth. Earlier this year, we surveyed executives of our utility clients to collect data to supplement our business strategy and planning in the T&D segment. Insights based on the answers from those executives, indicate that new transmission build is the number one investment planned over the next five years. This growing investment by our clients seeks to meet the higher demand for electricity around the country.  In fact, the percentage of participants in our survey, who view low demand as a high priority, nearly doubled since our 2021 survey. In our C&I segment, clean energy continues to present itself as a potential growth driver as we see numerous large electric, vehicle, charging station and solar project opportunities across the U.S.  Our chosen core markets of healthcare, data centers, manufacturing and transportation also contribute to our solid backlog of work and create steady bidding opportunities. As always, our greatest strength lies within our talented and dedicated employees. We continue to develop and empower our teams to reach their highest potential as we grow our Company. Our team members strive to provide customers with excellence in safety and project delivery, while helping them achieve their business goals.  Now, Kelly will provide details on our second quarter 2023 financial results.
Kelly Huntington: Thank you, Rich, and good morning, everyone. Our second quarter 2023 revenues were $889 million, a record high, which represents an increase of $181 million, or 25%, compared to the same period last year. Our second quarter T&D revenues were $504 million, an increase of 21% compared to the same period last year. The breakdown of T&D revenues was approximately $322 million for transmission and approximately $181 million for distribution. T&D's segment revenues increased both on transmission projects, primarily related to clean energy projects and on distribution projects. Work performed under master service agreements continued to represent approximately 50% of our T&D revenues. Excuse me one moment. I apologize. C&I revenues were $385 million, a record high for our C&I segment, with an increase of 31% compared to the same period last year. The C&I segment revenues primarily increased due to higher revenue related to clean energy projects in certain geographical areas.  Our gross margin was 10.1% for the second quarter of 2023 compared to 11.4% for the same period last year. The decrease in gross margin was primarily due to labor and project inefficiencies, some of which were caused by supply chain disruptions and inclement weather.  Gross margin was also negatively impacted by rising costs associated with inflation. These margin decreases were partially offset by better than anticipated productivity on certain projects and a favorable change order. T&D operating income margin was 7.5% for the second quarter of -- of 2023, compared to 7.9% for the same period last year. The decrease was primarily due to labor and project, inefficiencies some of which were caused by inclement weather, partially offset by better than anticipated productivity on a project.  C&I operating income margin was 3.3% for the second quarter of 2023, compared to 3.2% for the same period last year. The increase was primarily due to better than anticipated productivity on certain projects and a favorable change order. These increases were partially offset by labor and project, inefficiencies, some of which were caused by supply chain disruptions as well as rising costs associated with inflation. Second quarter 2023 SG&A expenses were $58 million, an increase of $6 million compared to the same period last year. The increase was primarily due to higher employee related expenses to support the growth in our operations and an increase in employee incentive compensation costs. Second quarter 2023 interest expense was $1 million, an increase of $500,000 compared to the same period last year. The increase was primarily due to higher interest rates, partially offset by lower average debt balances during the second quarter of 2023 as compared to the same period last year. Second quarter 2023 net income was $22 million, compared to $20 million for the same period last year. Net income per diluted share of $1.33 increased 16%, compared to $1.15 for the same period last year. Second quarter 2023 EBITDA was $47 million, compared to $44 million for the same period last year. Total backlog as of June 30, 2023 was $2.73 billion, a record high, and was 12% higher than a year ago. Total backlog as of June 30, 2023 consisted of $1.18 billion for our T&D segment and $1.55 billion for our C&I segment.  Second quarter, 2023 operating cash flow was negative $21 million, compared to positive operating cash flow of $39 million for the same period last year. The decrease in cash provided by operating activities was primarily due to the timing of billings and payments associated with project starts and completions.  Second quarter, 2023 free cash flow was negative $43 million compared to positive free cash flow of $22 million, for the same period last year, reflecting the decrease in operating cash flow and higher capital expenditures to support our continued growth.  Moving to Liquidity in our balance sheet, we had $256 million of working capital, $45 million of funded debt, and $451 million in borrowing availability under our credit facility as of June 30, 2023. During the second quarter, we completed an amendment and extension of our credit facility, which now has a $490 million capacity, representing a $115 million increase. We have continued to maintain a strong funded debt to EBITDA leverage ratio of 0.25 times leverage as of June 30, 2023. We believe that our larger credit facility, strong balance sheet and future cash flow from operations will enable us to meet our working capital needs, support the organic growth of our business, pursue acquisitions and opportunistically repurchase shares. I'll now turn the call over to Tod Cooper who will provide an overview of our transmission and distribution segment.
Tod Cooper: Thanks Kelly and good morning everyone. Our continued focus on strengthening and expanding existing relationships with key customers, along with executing our work to their expectations, led to solid second quarter results in our T&D segment. We continue to see steady bidding activity, are pleased with our strong backlog, an increased emphasis on load demand and system hardening as well as integration of clean energy. Our areas our clients continue to focus and invest in and MYR group is well positioned, to continue to execute as a strong nimble partner.  Earlier, Rick mentioned our strategic insight survey of our T&D clients. The survey indicated a robust investment plan over the next five years in new transmission build, with participants also ranking system hardening and clean energy as other top drivers impacting their strategic direction. Of those surveyed, 67% indicated they plan on investing in overhead re-conductoring in the next five years as part of system hardening efforts in order to meet the growing demands of the nation's grid.  Clean energy remains the most impactful driving factor for our clients in their businesses strategic direction, with 89% ranking it as the top planned investment in the next five years. Solar and energy storage ranked highest of these planned clean energy investments, with 27% of the participants targeting increases in battery storage capacity. EV charging station infrastructure and wind also rank in the top nine areas of investment.  These responses align with what we've seen in recent years. And we believe these customer priorities have the potential to generate growth opportunities for MYR group. Our Eastern Region remains active in all markets, with our subsidiaries winning additional work and growing key customer relationships through master service agreement extensions.  Recently, we were successful in extending two of our key MSAs in the Northeast for three additional years each, as well as establishing a new partnership with a large client in the Midwest. Our Western Region is leveraging customer relationships and capitalizing on expansion opportunities as bidding activity throughout the region remains solid.  MYR Energy Services continues to see a strong interest in full EPC project deliver and larger projects in the U.S. Driven by the electrification of the grid and shift to clean energy, which are robust drivers in the transmission market. Supply chain issues continue to present a challenge in the solar market and have caused delays in some projects across the country a carryover from last year, which saw a 16% decrease in solar installations, according to the U.S. Solar market insight 2022, year in review report released in March. However, it appears the solar project opportunities are back on the rise. Their recent report, released in June, reported the best first quarter in industry history, a 47% increase from Q1, 2022. According to the report, solar accounted for 54% of all new electricity capacity added to the grid in the first quarter of 2023. And as the market continues to grow, MYR is investing heavily in the training and development of both craft and management personnel to assure the successful execution of our solar portfolio.  In summary, for our T&D segment, a firm dedication to our clients, the health and safety of our employees and a strict adherence to our operating principles positions us well for success. We strive to leverage all of our capabilities of our companies and teams to contribute to our customer success, and I'd like to thank all of our talented employees for their commitment and effort.  I will now turn the call over to Don Egan, who will provide an overview of our commercial and industrial segment.
Don Egan: Thanks, Todd, and good morning, everyone. Our C&I segment achieved steady results in the second quarter, even as supply chain and material pricing headwinds continue through extensive collaboration with our vendors and clients, and by leveraging our strong supplier network across the organization, our segment continues to perform solidly with signs of improving market conditions.  According to the most recent Q1 2023 market conditions report conducted by one of our trusted general contractor partners, using statistics from the U.S. Census Bureau, total nonresidential construction spending in the U.S. increased 15.5% from February of 2022 to February of 2023. This included a 21.6% increase for commercial construction spending and an 11.5% increase in healthcare construction spending. This improvement is also reflected in the latest Architectural Billings Index, which reported a positive score for May, it's highest since September of 2022. These are encouraging forecasts that could generate growth for our business. Our long standing relationships with valued customers contributed to a steady backlog of work, and we continue to see strong bidding activity across North America, especially in our key markets.  Human Electric continues to see new opportunities in EV charging station infrastructure as well as solar projects of various sizes in its core markets. Sturgeon Electric's Arizona District continues to expand relationships with customers in core markets such as data centers, hospitals and manufacturing, while closely monitoring additional opportunities for battery storage projects.  Transportation remains steady in project activity both in Colorado for Sturgeon Electric at Denver International Airport and in Canada with Western Pacific Enterprises performing work on the SkyTrain Rapid Transit center in metro Vancouver. Manufacturing also presents several opportunities for new and additional work as we continue to build and strengthen relationships with our large EV manufacturers and engineering firms representing nationwide opportunities.  In summary, we are proud of our employees for their creative thinking, dedication and have a partner with our customers to respond to the challenges lingering in our industry. Their proactive and customer focused approach enables NYR Group to mitigate these hurdles and maintain a healthy pipeline of work, enhancing our potential for continued growth.  Thanks everyone, for your time today. I will now turn the call back to Rich, who will provide us with some closing comments.
Richard Swartz: Thank you for those updates, Kelly, Tod and Don. Our second quarter 2023 performance illustrates the strength of our core markets, the continued demand and investment in electrical infrastructure, and our ability to maintain and expand strong and diverse customer relationships.  We take pride in the role we play in building efficient and resilient infrastructure across the U.S. and Canada. We continually focus on meeting the needs of our customers as they navigate dynamic market conditions, fortifying our foundation as a strong and agile partner. I want to thank our employees, for their invaluable contributions and dedication to do safety and operational excellence each day. We believe MYR group is strategically positioned to generate growth while delivering shareholder value.  And I would like to thank each of you for your continued support. Operator we are now ready to open the call up for comments and questions.
Operator: Thank you. [Operator instructions] Our first question comes from the line of Alex Dwyer with KeyBank Capital Markets. Your line is open.
Alex Dwyer: Hi, good morning. Thanks for taking my questions. So first, can you talk about what you're seeing in terms of the supply chain across the business like, are you continuing to see supply chain inefficiencies and inflationary pressures and C&I improve? Just wondering how that trended through the quarter. And then on the T&D supply chain, it sounds like the materials are still tight and the shortage of transformers has been topical. Just an update on these would be helpul.
Richard Swartz: Sure, sure. I'll start on the C&I side. I think on that side, we said we'd see in previous quarters, we saw that we were seeing gradual kind of a glide path towards kind of that lower end of our margin profile and improving conditions on the supply chain, we continue to see that. And I think in previous quarters, I said we think we feel it's going to get back to normal by that first quarter of next year. We continue to see those improvements, and it's heading that way. On the T&D front, I think material is tight on that side, but I think our customers in general are getting out in front of that and making commitments sooner. So they have that material when the projects occur. So they're planning at a higher rate and looking out further into the future.
Alex Dwyer: Got it. Thanks. And then on the T&D margin, it sounded like weather was the primary headwind in the quarter. Is there any way to break out how big of an impact that was during the quarter? And then if just look ahead, is there anything different about your mix of business in the segment that could preclude you from getting margins back in that target range, the middle of that range, later this year? 
Richard Swartz: I'll start and I'll. Let Todd add to it. I think for know, we see that barring bad weather we see being able to get to that mid range of our margin profile, there should really be no issues with that barring weather. So I think we're seeing improved market conditions out there across the board. But Todd, you want to add?
Tod Cooper: No, I think the other part of your question was really Alex, the mix of business and I don't see the mix of business that we're in impacting margins at this point in time. Rick's right. As far as the supply chain issues as well, it seems like our clients are providing more visibility long term, so they're planning much better right now. But overall the impact, it was there quantifiable slightly impactful is where I'd put it. 
Alex Dwyer: Got it. And lastly, just on the backlog, the C&I backlog was quite strong. I'm just wondering if there was anything larger in there or like a certain end market where you saw a lot of work come through and then T&D ticked down the backlog, is there anything to read into there or is that just timing? 
Don Egan: On the T&D side, I'll start there. It's just timing. I mean, it's always lumpy on awards. We want to make sure we have the right ones in place. I mean we continue to grow our T&D side of the business and our C&I side. But on the T&D front, our MSA work continues to be about 50% of the revenue that we produce each quarter. And we like that growth we're seeing on that side.  So really no mix change on that at all and our backlog is strong just lumpy on that side. On the C&I side, there was no huge projects in any one area. I would say it was a steady flow of projects in kind of all our core markets on the C&I side. So pleased with the activity we're seeing and look forward to continue.
Operator: Thank you. Our next question comes from the line of Justin Hawk with Baird. Your line is open.
Justin Hawk : Hi, good morning, everyone. Thanks for taking my questions here. I guess I had a question just on the expectations for revenue growth. In the back half of the year, you've had two quarters here where the revenue growth has been over 20% last year. In the second half, you grew over 30%. So it's obviously a difficult comp. But I guess typically seasonality, you'd have more revenue sequentially in the third quarter versus the second quarter. And I guess just mathematically, that would imply still double digit growth in the third quarter. Is that still a reasonable kind of assumption of the seasonality path? Anything that would kind of disrupt that? I guess I'm just trying to think about how you're thinking about the back half of the year?
Richard Swartz: When we look at the back half of the year, we had a very strong front half. As you said, the last half of '22 was very strong for us coming into this year. And last quarter, I said to expect kind of in that -- that high single digit growth. I would say now when we're looking at the work and our backlog that's going to burn, we'd be in that low double digit growth is where I'd anticipate it going. So continue to see a lot of activity. We continue to see the supply chain issues out there that would pull us from that higher, I would say mid teen range down. So look at that low double digit for an area growth.
Justin Hawk : Okay, all right of, that makes sense. And then I guess just maybe drilling on the free cash flow a little bit more. I know you talked about the timing on some of the receivables with the revenue ramp. It does look like your contract capital is up a fair amount, and there's been a little bit of an uptick in the revenue from unapproved change orders, so is there anything discreet in there, any large project that maybe is going to be something that's dragging on working capital for a while? Or is it just one off this quarter? 
Kelly Huntington: I'll jump in and answer that one, Justin. A couple of dynamics that are affecting it. First, just the revenue growth that we're experiencing, so working capital to support that growth. The other really boils down to timing of projects and when they're starting and completing, how that affects our retention balances, which we're up quarter over quarter and then how that can affect some of the larger projects where at the start we can have a favorable position from a contract structure. And then as we get through that project, that balances out. But really, it's just I think you're going to continue to see some lumpiness in that from quarter to quarter, depending on when we have projects ramping up and wrapping up. 
Justin Hawk : Okay. All right. So there's no one big project?
Kelly Huntington: No, I'd say really just more timing across the whole portfolio and we don't see any changes to our collection patterns or our payment terms overall, it really just comes down to timing. 
Justin Hawk : Okay, great.
Richard Swartz: I think our DSO had been extremely low, and even compared to our peers, it's still extremely low. But it did climb a little bit. But I would say that's normal cycles of business.
Justin Hawk : Yeah, no, that's fair enough. I think I'll just leave it there then and jump back out. 
Operator: Thanks, Justin. Thank you. Please stand by for our next question. Our next question comes from the line of Brian Russo with Sadoti. Your line is open.
Brian Russo: Hi, good morning. Just to follow up on the strong first half in revenue, and actually the trailing twelve months of revenue is quite solid, is the low single digit 2023 revenue growth is that kind of like the new level of organic growth that we can expect? 
Richard Swartz: Yeah, that's what we hope to see. I mean, as we said, with the material issues out there and some of that stuff I plan on for the year being kind of in that low double digit on the low end of the double digit growth. But we kind of revising that from what we're seeing now, or what we saw in previous quarters, I should say, from that high single digit to that.
Brian Russo: Right. Okay, so just to confirm, the low double digit that could be repeatable in 2024 and beyond that?
Richard Swartz: For that right now, we would like it to go there, I would say plan on that high single digit next year, but are in changes in the market weather conditions or material supply issues. We should be close to the double digit, but that high single digit I plan on for next year, barring an application or something else taking place.
Brian Russo: Got it. And then just when we look at the T&D breakdown, quarter over quarter revenue, it looks like the majority of the increase came from transmission, which revenue was up 29%, and where distribution looks like it was up just about 10%. I was just wondering, are there any one large transmission project that drove that year over year increase?
Richard Swartz: No, there's not one project. It's split among many projects.
Brian Russo: Okay.
Richard Swartz: And then the Cal ISO approved their 2022 transmission plan, I think it's about five or $7 billion, I think over 40 projects. And I know in the past you mentioned your relationship with a Southern California based utility, and I was just wondering when that development might start or when we could potentially see some awards being granted to ENCs, like MYR group.
Tod Cooper: Yeah. Brian, this is Todd. Yeah, we are excited about that. We're actually starting to see some bidding opportunities right now as part of Caliso's Allotment there. So it's probably going to be a two or three year process here. Some of the smaller projects are getting out on the street right now, but we're aware of the increase in the size of those projects over the next year or two. So we're excited about that and it will present some opportunities for us all. 
Brian Russo: Okay. And then the extreme heat that we've seen witnessed in Arizona and the Southwest, mostly in these first three or four weeks of July. I know it clearly has a different impact on T&D versus C&I, but if you could just kind of maybe discuss, you know, any labor or productivity impacts from the extreme heat month to date?
Tod Cooper: Yeah, right now, we're not seeing a tremendous impact on that. We're always concerned about the health and safety of our employees, and we're really focused on it. We have our crew starting much earlier and working up to the point where they can, but we're getting full days in right now by starting much earlier and finishing earlier in the day as well, before the heat peaks out. But something we have an eye on, we're concerned about, and we're concerned about the health and safety of our employees. But to date, knock on wood, we've been getting full days in those areas. 
Brian Russo: Okay, great. And lastly, we've been hearing and reading a lot about electric vehicle charging stations. I think. Yesterday, a consortium of automakers announced a multi billion dollar strategy for charging stations. I'm just wondering how big of an opportunity is it either on the T&D side or the C&I side. I mean, would you could you capture a big piece of the business, or are these one off behind the meter type of work projects, that kind of piggyback whatever you're doing for your existing utility customers?
Don Egan: Okay Brian. C&I customers. I'll take that. We're just seeing those EV opportunities across the board, really, both on our T&D and our C&I segments. And we're seeing anything from small commercial where there's a couple of chargers to maybe even some automobile dealerships where they're asking for eight to ten chargers. But it could affect and to touch every piece of our business, really.
Tod Cooper: Yeah. And we're working on some nationwide agreements also. So I think when you look at it, it's a good position for our company to be in. We can do both the T&D side for our customers of bringing the power to the stations and then we can also take it from those charging stations out and set those so for us, we see good growth opportunities and probably steady growth opportunities going forward as the market expands. 
Operator: Thank you. [Operator instructions]. Our next question comes from the line of John Bratz with KCCA. Your line is open.
John Bratz: Morning, everyone. Rick, one of the pressures you're feeling on the gross margin front is some inflationary pressures. And I guess my question is are you able to begin to price those pressures into your bids to recover some of that margin? 
Richard Swartz: Yes, we can. And some contracts we have are more favorable than others. And I'm talking about older contracts. I mean, a lot of our MSAs have fuel price increases, have different opening provisions for them. Our newer, lot of them are tied to inflationary pressures or increases for that reason. But as we burn off some of the older work that didn't have those provisions in it, that's what's been a draw on our margins to a certain extent.  And we see that improving as those projects burn off and that'll continue through the end of this year, and then we'll be pretty much into the newer projects. So we only see better terms and conditions in our contracts than what we saw two or three years ago, and I think that's going to continue to be in place. 
John Bratz: Okay, so as we enter, let's say 2024, most of those contracts will have some type of, if you want to call it, escalator clause, some provision in there that allows you to absorb or pass through some of the if there are some higher costs?
Richard Swartz: Yeah, not every contract will have that, but I would say more and more projects are able to have that. So sometimes we're teaming with our suppliers or vendors and they're covering that risk. There's different ways to attain it. That goal of us not having that total visibility or impact of it. So I think as we move forward, it's one of those that we address in every contract we're on, and it's something that the whole industry is facing. So it's not just us facing it, others are facing it also. So I think our clients are more apt to bend on that issue and make sure they have the right pricing in place going forward.
John Bratz: Is there any way you could quantify for us how much that has been sort of a headwind on margins?
Richard Swartz: If you look at our side, I mean, we've been operating below what that normalized margin profile, we say, of that 4%. That's what's drawn us probably below that 4%. And then there's been some other impacts out there, but I mean, that's been primarily the driver that's taken us down. 
John Bratz: Okay, thanks. And then just follow up on the previous question about the weather. So it really hasn't been the hot weather. Is it just rain? I know it's been raining out in the northeast. Is that really the weather issue that you faced at times? 
Richard Swartz: Well, it's rain. I mean, that side makes it a little tougher to do, and we've had a lot of that out in the northeast lately, so that continues to impact us. I don't want to say heat has no impact on us. I mean, we're doing a lot of solar installations around the country on both sides of the business. So you may not be as productive in those times when that heat is extreme like that, but usually that goes on for weeks, not months.  So it's something that I don't feel is going to have a great draw on our margins, but it is something that does impact you, because people aren't working as quickly as they would. And as Tod says, we're doing a lot of stuff to start earlier and make sure the safety and health of our employees come first. 
Operator: Thank you. [Operator instructions]. I'm showing no further questions in the queue. I would now like to turn the call back to Rick Swartz for closing remarks. 
Richard Swartz: To conclude, on behalf of Kelly, Tod, Don, and myself, I sincerely thank you for joining us on the call today. I don't have anything further, and we look forward to working with you going forward and speaking with you again on our next conference call. Until then, stay safe.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.